Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Hello, and welcome to the Euronext Third Quarter 2021 Results Call. My name is Courtney, and I'll be your coordinator for today's event. Please note, this call is being recorded, and for the duration of the call your lines will be on listen-only. However, you will have the opportunity to ask questions. [Operator Instructions]. 00:40 And I will now hand you over to your host Stephane Boujnah, CEO and Chairman of the Managing Board of Euronext to begin today's conference. Thank you.
Stephane Boujnah: 00:51 Good morning, everybody, and thank you for joining us this morning for the Euronext third quarter twenty twenty one results conference call and webcast. I am Stephane Boujnah, CEO and Chairman of the Managing Board of Euronext. And I will start with the highlights of this third quarter. Giorgio Modica, Euronext CFO will then develop further the main business and financial highlights. 01:16 Euronext reported a strong third quarter performance with very strong revenue growth and double digit growth in adjusted EPS. Revenue increased by one hundred and forty five point eight million euro, up plus seventy one point two percent to three hundred and fifty point six million euro. 01:39 And this solid revenue performance was driven by two main drivers. The first one is a double digit organic revenue growth, driven by good performance on our listing, on our trading and on our clearing businesses. This two organic performance is the clear translation of our leadership position now in listing and cash equity trading in Europe. 02:08 During this quarter, Euronext was once again the European leading equity listing venue with fifty one new listing and the leading ETF listing venue. And the second driver of this very strong organic revenue growth was the fact that it is the first quarter of full consolidation of the Borsa Italiana Group, contributing one hundred and twenty one point one million euro to revenue in Q3 twenty twenty one. 02:36 Over the first nine months of twenty twenty one, despite very tough comparison base of twenty twenty, which you may remember twenty twenty was a very strong year and Q3 twenty twenty was a strong quarter in a very strong year. Despite this comparison effect our organic growth was up three percent and this shows the ability of Euronext to capture value. 03:06 As you know, we keep a close eyes, we monitor very closely the share of our non-volume related revenue in our revenue mix. And this share of non-volume related revenue rose this quarter to fifty five percent of total revenue and covers now one hundred and thirty one percent of our operating expenses excluding G&A. 03:31 On the cost side, the reported increase that you have seen is mainly related to two factors. The first one is the consolidation cost from Borsa Italiana Group and from the VP Securities in Copenhagen cost base. And the second driver, the cost related to the integration of the Borsa Italiana Group, which is the major customer integration project for Euronext at the moment, but these costs have been anticipated and announced previously. Overall, these numbers both under revenue side and the cost side translated into a group EBITDA increase, up plus seventy two point three percent to two hundred and three million euro and an EBITDA margin of fifty seven point nine percent in Q3 twenty twenty one. But on a like for like basis, our EBITDA margin in Q3 twenty twenty one increased to sixty point four percent, hence by one point eight points. 04:38 So, this solid group business performance resulted in a plus eighteen point one percent increase in adjusted EPS at one point zero two one euro per share. And on a reported basis, net income was up plus sixty four point nine percent to one hundred and fifteen point eight million euro also boosted by a nine point two million euro dividend received this quarter. 05:06 I now hand over to Giorgio Modica for the detailed review of our businesses.
Giorgio Modica: 05:10 Thank you, Stephane, and good morning, everyone. I’m now on slide six. In the third quarter of twenty twenty one Euronext consolidated revenue reached three hundred and fifty point six million with an increase of one hundred and forty five point eight million euros, which translated seventy one point two percent. These results were driven by the double digit organic growth in trading, clearing and listing activities and by the contribution of the Borsa Italiana Group, it is consolidated for the first time for a full quarter. 05:44 Please note, that VP Securities was contributed on the fourth of August twenty twenty and that's accounting only for a part of the organic growth. On the like for like basis, and on current currencies, Euronext consolidated revenue was up ten point two percent vis-a-vis the third quarter of last year. 06:05 Moving now to the different business lines. Trading revenue increased to one hundred and twenty four point two million euros, up sixty three point six percent. Thanks to the consolidation of Borsa Italiana and MTS trading activity, as well as the good revenue capture and efficient market share management in cash trading activities. 06:26 Wholesale activities revenue, including net treasury income increased one hundred and fifteen point two percent to ninety six point one million euros as a result of the consolidation of Monte Titoli and CC&G activities. These offset the lower activity in our Nordic CSDs reflecting the normalization of repair activity and a seasonal effect in the third quarter of this year. Advanced Data service revenue increased to forty six point five million euros up twenty nine point seven percent, benefiting from the good performance of market data and indices and from the consolidation of the Borsa Italiana Group. 07:09 The strong listing revenue growth up forty two point one percent to fifty point eight million euros results from the consolidation of Borsa Italiana Group and from the continued momentum in equity listing, at the same time, corporate service continue record good performance despite the usual seasonal summer slowdowns. 07:32 In terms of revenue mix. In the third quarter of twenty twenty one non-volume related revenues accounted for fifty five percent of total group revenues versus fifty four percent in the third quarter of twenty twenty, reflecting the increased diversification in our revenue mix. Please note that, those non-volume related revenues include the net treasury income from CC&G. 07:58 Lastly, non-volume related revenues covered one hundred and thirty one percent of our operating cost excluding D&A compared to one hundred and twenty eight of last year. 08:09 I now move to slide seven for listing. Listing revenue was fifty point eight million euros in the third quarter of twenty twenty one with an increase of forty two point one percent compared to the third quarter of twenty twenty. It was driven by the consolidation of the Borsa Italiana listing activity, of course. But it's also driven organically by record activity in equity and ETF listing and a very positive traction in ESG bond listing and the good performance of Euronext Corporate Services 08:42 With regard to a equity listing, the third quarter of twenty twenty one saw the continuation this a strong primary equity listing momentum with fifty one new listing on Euronext, including five large fab, Universal Music Group, Azelis Group, Antin Infrastructure Partners, Majorel Group and Exclusive networks and six SPACs. Euronext continues to demonstrate its strong value proposition for innovative companies with mostly listing being tech company. 09:14 In the third quarter of twenty twenty one, four point eight billion euros were raised on Euronext primary markets and quadrupled compared to nine twenty six million euros in the third quarter of last year. As Stephane said, we again confirm our position as the number one listing venue in Europe for equities and ETFs. Secondary market reported a solid third quarter of twenty twenty one with thirty nine point seven billion euros raised in secondary equity issues compared to nine point four billion euro in the third quarter of last year. 09:53 Let's move now to our Trading business and slide eight. And let's start with the cash trading. On a pro form a basis, including Borsa Italiana, ADV increased fourteen point six percent reflecting an expectedly positive volatile third quarter there while we usually see a cyclical summer slowdown. 10:20 Average revenue captured over the quarter reached zero point five two basis points and a market share of seventy one point four percent. The consolidation of cash trading activity of Borsa Italiana in the strong volume environment resulted in cash trading revenue in increasing forty two point seven percent to seventy five million euros. 10:43 Moving on to Derivatives trading. Derivatives trading revenue was up twenty five point nine percent to thirteen point five million euros in the third quarter this year. Pro form average daily volumes on financial derivatives slightly increased three point four percent reflecting the low volatile environment for equity derivatives. Commodities products reported a record quarter with average daily volumes up thirty four point four percent reflecting the successful commercial expansion in the dynamic agricultural market. The average revenue capture over the quarter for the derivative trading was thirty one – zero point three one euros per lot. 11:31 Moving to fixed income trading. I remind you that fixed income trading includes the planning activity of MTS, cash and repo and the fixed income trading activity of Euronext and Borsa Italiana, such as [indiscernible] and Euro CLX. Fixed income trading reported revenue at twenty three point eight million euros in the third quarter this year, this is fifty times more than what we had in Euronext in the third quarter twenty twenty as a result from the consolidation of the Borsa Italiana Group. In the third quarter twenty one, MTS cash generated seventeen point one million euros of revenue and MTS repo generated four point eight million euros of revenue. 12:17 The strong performance at MTS cash trading activity up sixty six percent versus the third quarter of twenty twenty reflects the positive momentum in cash bond trading supported by the steady issuance and support from ECB and EU recovery fund and by the political stability in Italy that support trading volumes. 12:41 Continuing with trading on slide nine. Euronext reported average spot FX trading daily volume of seventeen point five billion dollars in the third quarter this year, down nine point four percent compared to the third quarter of twenty twenty. Resulting from a less volatile trading environment. As a result, spot FX trading revenue decreased twelve point two percent to five point six million euros. 13:04 Power trading was stable at six point three million euros reflecting lower trading activity offset by positive foreign exchange impact. In the third quarter twenty twenty one, average daily day ahead Power traded was two point zero two terawatt hour and average daily inter day power traded was zero point zero six terawatt hour. 13:28 Moving to slide ten, revenue from post-trade activities including net treasury income increased by one hundred and fifteen point two percent as we discussed to sixty -- to ninety six point one million euros. Clearing revenue was up eighty five point three million euros in the third quarter of twenty twenty one to twenty seven point five million euros as a result of higher clearing revenue and treasury income received from LCH SA and the consolidation of CC&G activities. 13:58 On a like for like basis and at current currencies, clearing revenue was up fourteen point eight percent compared to the third quarter of twenty twenty. Net treasury income through CCP business of CNG was twelve point nine million euros. 14:13 Custody and settlement and other cost trade encompassing the activity of our – for CSDs reported strong revenue growth of fifty five point six million euros compared to the second quarter. This year we witnessed slower activity in our Nordic CSD, reflecting normalization of the retail trading activity as we have anticipated in the previous quarters. 14:41 Moving to slide eleven, Advanced Data Services revenue was up forty four point three percent to forty nine point eight million euros in the third quarter of twenty twenty one, driven by a solid index business, a robust market share in market data and the consolidation of the Borsa Italiana Group data activities. 15:02 Proceeding now with investor services, revenue were up nine point three percent to two point one million euros in the third quarter twenty twenty one, reflecting continued commercial development. Lastly, on technology solutions, the revenue doubled in the Q2 twenty twenty one to twelve point four million euros as a result of the strong SFTI / Colocation revenue, improvement in the fee grid and the consolidation of the technology businesses of the Borsa Italiana Group, namely Gatelab and X2M. 15:39 Moving to slide thirteen for the financial highlights of the third quarter, and I would like to start with the EBITDA bridge. Euronext EBITDA for the quarter was up seventy two point four percent to two hundred and three million euros. The EBITDA margin increased at fifty seven point nine percent in the third quarter of this year despite the ongoing integration cost. This quarter, we had in our P&L around seven million euros of integration costs in OpEx. 16:14 On a like for like basis, the EBITDA margin was sixty point four percent, up one point eight points and EBITDA increased by thirteen point seven percent. From a revenue perspective, revenue at constant perimeter increased double digit and in absolute amounts by nineteen point eight million euros compared to last year, reflecting the very good performance of listing, trading and the organic growth in our clearing business. 16:48 The Borsa Italiana Group contributed for one hundred and twenty one point one million euros to the top line and the other business acquired contributed additional three point seven million euros. Looking at costs, group operating cost excluding D&A were one hundred and forty seven point six million euro as a result of fifty five point five million euros of additional costs coming from the change of scope and mainly as a result of the consolidation of the Borsa Italiana Group, VP Security and others smaller recent acquisitions. And also, from the integration cost mainly related to Borsa Italiana Group, we just discussed around seven million euros this quarter. And four point three million euros of additional organic costs mainly reflecting higher staff costs. 17:41 Moving to slide fourteen. Now, I would like to comment bridge of net income. Net income increase this quarter sixty four point nine percent to one hundred and fifteen point eight million euros resulting from the following elements. D&A mechanically increased impacted by the consolidation of recent acquisition, D&A and the PPA. 18:04 PPA this quarter accounts for around twenty million euros on the total D&A. Exceptional of costs were one point five million euros lower than last year, net financing expenses for the third quarter of twenty twenty one were three point nine million euro higher compared to the last year, reflecting mainly the cost of the debt recently issued. Results from equity investments increased nine point nine million euros reflecting the contribution from LCH SA and the dividend received from year to year. 18:41 Lastly, income tax for the third quarter twenty twenty one was forty eight point five million euros, which translate into an effective tax rate of twenty nine percent. These tax rates reflect as well some integration costs which are not tax deductible. Adjusted for PPA and exceptional items, adjusted net income was one hundred and thirty two point four million euros translating into an adjusted EPS increase of eighteen point one percent to one point two one euro per share this quarter. 19:22 Moving to slide fifteen for the cash flow generation and leverage. Net operating cash flow amounted to two hundred and thirteen point five million euros, excluding the impact of CCP activities in mainly Nord Pool and CC&G. On the changes of working capital eighty six percent of EBITDA was compared -- converted into cash flow after tax. Our net debt to EBITDA ratio was at the end of the quarter at two point eight times versus three point one times in the second quarter twenty twenty one. 20:03 As at the end of September twenty twenty one we are the floor below the targeted leverage announced at the time of the acquisition of the Borsa Italiana Group that was expected for the end of twenty twenty two. 20:16 Last slide on my side. I’m on slide sixteen and I would like to comment the evolution of our liquidity position over the quarter. Our liquidity position was and remained strong above one point four billion euro including the undrawn STF of six hundred million euros. This is all for me and now I hand over the floor back to Stephane Boujnah.
Stephane Boujnah: 20:41 Thank you Giorgio and thank you again for participating to this call. And we’ll be happy to introduce next week on Tuesday, the ninth of November our new strategic plan, and we hope to meet some of in Milan where this plan will be released and discussed. We are now available for your questions with Giorgio Modica and Anthony Attia, Global Head of Primary Markets & Post Trade.
Operator: 21:10 Thank you [Operator Instructions] And our first question comes in from the line of Kyle Voigt calling from KBW. Please go ahead.
Kyle Voigt: 21:39 Hi, good morning. Maybe a few questions for me. So the first would be on fixed income. Very strong quarter, you cited strong issuance across Europe. Just wondering if you could help us understand how much of the growth MTS is seeing is related to the environment versus market share. So maybe try and understand how much is secular versus secular growth -- secular versus cyclical growth. Sorry about that. 22:07 Second question is on the settlement in custody line. I guess you were a little bit surprised to see the revenue down sequentially from 2Q into 3Q given the full quarter consolidation of Monte Titoli in 3Q. I think in the deck you cited a normalization of retail trading activity in the Nordics, can you help us understand whether most of the normalization has already happened or there could be further declines from here with further normalization of that activity? 22:40 And then lastly from me is on expenses. You mentioned there were seven million euros of integration cost in OpEx. Can you give us a sense of that seven million euros of integration cost, is that something you anticipate will have to continue for some time into the future and through the duration of the integration or were some of these more a one off in nature? Thank you.
Stephane Boujnah: 23:02 Okay. Thank you very much for your question. So when it comes to your first question. One element that I would like to highlight is that, as you know MTS, there is two many activity, the cash and the repo. And from a financial standpoint point, the case activity is very beneficial from the bottom line. Now in this very specific circumstances we are living where we have the combination of positive effect, traders are more inclined to take position in cash trading, rather than getting exposure to repo. So the condition are very favorable and this translates into the increase of sixty six percent that we have highlighted, which is certainly a very high level of activity. 23:54 And just to give you another data point. I believe that in the last week MTS had its record day for cash trading ever. So we're certainly at the high points of the cycle. And again, this is supported by the environment and by the stability of the Italian government. Going forward, we believe that MTS will remain a growth asset for Euronext. But again, we will focus on expanding the activity of MTS to make it more internationally relevant. 24:29 With respect to your second question on Custody. As you can see, if you look, the organic growth year on year still see a very strong performance. So what has happened between the third quarter this year and the second quarter, a couple of factors. First, as you might know comparing consecutive quarter might lead to their own conclusions because there is a seasonal effect, because certain activity which are charged by the CSDs are -- do not take place at the same throughout the year and there are specific seasonal effects. So this is one element. 25:07 And the second element which is what we anticipated, as you might know, the business model in the Nordic is different from the rest of other the cities and therefore more exposed to the interaction of the retail trading, which has reduced and therefore the revenues suffer from that. 25:31 Now going forward, what we anticipate is that, we are now at a more normalized level and future growth is going to come using a level similar to the one that we witnessed in the third quarter in the quarters to come. 25:50 Finally on -- when it comes to the integration, I mean, I don't want to spoil the surprise for the Investor Day, but clearly we see those integration cost remaining in our P&L for quite a while, we have quite an ambitious integration plan. But for further details around that, I believe it makes sense to wait a couple of days and we will be much more explicit design of November.
Kyle Voigt: 26:24 Fair enough. Very helpful. Thank you.
Operator: 26:30 The next question comes in from the line of Benjamin Goy calling from Deutsche Bank. Please go ahead.
Benjamin Goy: 26:37 Yes. Hi good morning. Two questions from my side please. First, coming back on the cost, So OpEx plus five percent on like for like basis doesn't sound very much Euronext like. And now you mentioned seven million euros, which is essentially almost the entire increase. Is that the right way to think about it or do you calculate it differently? So i.e., excluding cost merger integration would be flat on a cost base. 27:01 And then the second question is on the revenue capture in cash trading, another good quarter outperforming your expectations. Was it more retail activity or you see the first benefit of working with Borsa and improving their revenue capture? Thank you.
Stephane Boujnah: 27:22 So, when it comes to your first question, it's always tricky and would not be Euronext like, trying to highlight the impact of the quarter. So what I can say is that, the seven million euros are fully in the OpEx. So it's a mix effect, because the real -- the good way to look at that is that, we keep reducing cost every quarter. But on the other side, we have integration costs and we have the evolution of our OpEx. So it's very difficult to split and will be a bit artificial to do that. But what I can say with certainty is that, if you look at the increase, seven million euros of integration costs were included in the OpEx. 28:17 The second element that I would like to highlight on the revenue capture is that, the revenue capture, as you correctly pointed out, remain strong. And what I would like to highlight as well is that, comparing the revenue capture with respect to the previous quarter would be misleading, because in the previous quarter we did not have the full integration of Borsa Italiana, which is dilutive on the overall impact. 28:43 So again, this points to the fact that revenue capture was strong. And we believe remains higher than what we project longer term. As we said, we see more of a normalization at or slightly below the zero point fife zero basis point. 29:06 The second element that comes – that relates to the advantage of having Borsa Italiana. Now it's far too early for that. Borsa Italiana operates on a different technology platform which is still the one on the London Stock Exchange. And it is going to remain this way until the migration, so it's too early to think of a common trading platform and a common pricing strategy. So, no impact from the integration of Borsa Italiana on the revenue capture.
Benjamin Goy: 29:45 Understood thank you.
Operator: 29:51 The next question comes in from the line of Arnaud Giblat calling from Exane BNB Paribas. Please go ahead.
Arnaud Giblat: 29:59 Yes, good morning. Two questions, please. First on costs. Thanks for splitting up integration costs. I was wondering if you could tell us how much of your planned cost synergies have been delivered over the quarter?And what that could look like in Q4? 30:13 My second question was a follow-up on what you just said in terms of revenue capture. Is there a firm plan to align the pricing of Borsa Italiana cash equities to that of Euronext Group. I mean, from covering from -- times. So I think the pricing structure is very different actually, it's more skewed towards a trade basis more than a [indiscernible] I'm wondering if that could change? 30:46 And my third question is, I'm wondering about MTS, could you shed a bit more color on the actual pricing model? I’d like to understand a bit more how sensitive revenues are to various volume items? Thank you.
Stephane Boujnah: 31:05 So when it comes to the -- when it comes to the clearing, when it comes to the time to change the fees structured at Borsa Italiana, this is really too early to tell. We are discussing with the teams, we will be engaging with regulators and win clients and this is something that will come later in the process. And as you know as well, we will need to make sure that this is done the right way to make sure that the contribution of the local ecosystem remained as strong as it is today. So the is part of the process that they started, but we will conclude after the migration to peak. What I can confirm on the other side is the fact that the pricing structure of Borsa Italiana is fairly different from the one of Euronext. 32:17 Your question with respect to the integration cost. Again, I would like to wait a couple of days to tell you where we are, because commenting targets now and projection for the end of the year and the next year, it's a bit premature. So only few days more and then we can clarify on that. 32:47 Then when it comes on the MTS model, I believe that what you have and what we provide is the split of volumes and revenues by cash. Now on the -- to give you more information on our sensitive evolution in a different parameters, I believe it's – it will be early for this call. Let me come back to you on that and we can see what we can do.
Arnaud Giblat: 33:23 If I can just follow-up, I mean, can you tell us how much synergies have been realized in this past quarter?
Stephane Boujnah: Again, on these, we would like to give a complete picture at the day of the Investor Day. So because as you might understand, things might have slightly evolved and therefore rather than combining a few days before the Investor Day, we prefer to give a few -- a full analytic picture in a couple of days. Sorry for that.
Operator: 34:17 The next question comes in from the line of Johannes Thormann calling from HSBC. Please go ahead.
Johannes Thormann: 34:24 Good morning everybody. Thanks. Just have two questions -- two follow-up questions please. First off all on the settlement activity in Nordic markets. And just understanding the seasonal pattern or help me the understand the seasonal pattern. Yes, we have quarterly dividend payments in Europe and in some countries we have as well half year payments. Can you probably provide some more details, what has driven up the activity in Q2 and what is now down in Q3 in the Nordic business? Or if you can quantify the fee amount you would consider as one off in that kind of business? 35:05 And secondly, sorry, coming back to your seven million euros one off costs in the operating cost. If you say, it's difficult and artificial to strip them out, the auditor doesn’t want to strip them out. So why is it then and you view still one off costs, what kind of cost are these? Or is it – we need more details to understand this? Thank you.
Stephane Boujnah: 35:30 On the CSD Business in Nordic region and then Giorgio on the treatment of those one off costs.
Andrea Sironi: 35:37 Thank you, Stephane. Good morning. As Giorgio explained earlier, we have seasonality seen in the CSD business, and this increased by the exposure to retail activities in VP Securities in Denmark and EPS in Norway. This seasonality translating to into several thing. One is the peak of revenues in Q2 due to dividend payments and general meetings organization. So it's related to corporate actions. And in Q3, we have the usual summer decrease of activity, in particular for the retail.
Giorgio Modica: 36:20 And so when it comes to the KPIs that we track. The key KPIs are asset under custody then we have the number of accounts opened. We have the number of corporate action and the number of settlement transactions. Those KPI account for -- in excess of two third of even higher of the revenues of CSDs. Now what has happened is simply that the asset under custody keep going up, the number of accounts have remained stable, what has decreased is the number of settlement instruction and the number of corporate actions. So those are the KPIs that we – that decrease. 37:16 Now coming to your question, When I say it is artificial. I didn't mean that it is artificial, the seven million euros. What I meant is, I fully appreciate that you would like to understand what costs are not run rate. What I say is that, artificial exercise itself to make the list of all the good news and bad news. And this is the reason why different from many of our peers, so we don't do that. You do not have an adjusted EBITDA for bad news. 37:49 On the other side, the integration costs are very well specified and include things like if we need to migrate and if we need to migrate the data center to [indiscernible], we need to have specific engineer to work on that project and this is going to be one off, because it's going to be over. If we need to migrate the millennium technology to a peak, again, we need to have the effort which are defining in time and which are aimed to reach the integration of Borsa Italiana. 38:22 So those are the cost that we consider in the revenue. And again, we are not proposing any KPI and and we do not adjust our accounts for that. So our fifty seven percent, fifty eight percent margin you see today includes everything. Then if I get the question, what portion of your OpEx is related to cost, which are specifically aimed to the integration of Borsa Italiana? The answer is, seven million euros.
Johannes Thormann: 39:02 Okay.
Operator: 39:08 Thank you. The next question comes in from the line of Ian White calling from Autonomous Research. Please go ahead.
Ian White: 39:16 Hi, good morning. Thanks for taking my questions. Just a couple of follow ups, please. 39:21 Firstly on M&A, can you just clarify, are there any firm commitments that you've made to the rating agencies regarding the group to leverage prior to another substantial deal or is there still some short term flexibility there? I wondered if you might be prepared to comment on the recent situation involving Azelis, Euroclear stake and kind of why that wasn’t attractive to Euronext if possible? 39:48 And just secondly, is there any update you could provide regarding the progress of the data center migration at this stage. I just wondered if it was your expectation that all your next market makers will make the shift with you to Bergamo? Or do you anticipate some attrition there, please? Thank you.
Stephane Boujnah: 40:09 So, I'll take your question on ICE and question on the data center and Giorgio will answer the questions on fundraising. So, we are aware of the situation that is being -- that is taking place whereby ICE is disposing it's nine point or eight percent stake in Euroclear. We have taken note of the announcement they have made that they have entered into an agreement with Silverlaje in this respect and we analyze the situation as a shoulder in Euroclear, which is represented at the board. I can't say more about the situation for the moment. 41:04 On the data center migration, we will have detailed description of the update on this front in Milan on the Investor Day, because it's a significant part of the integration process. What I can tell you is that, things are proceeding extremely well. The vast maturity and more, I mean, we will disclose the details on Tuesday of our plans that were located in [indiscernible] taking the appropriate steps in timely manner to be collocated in the new data center in [indiscernible]. So there is no concern about that. And for the moment, we can reiterate the target date for implementing the migration remains the sixth of June twenty twenty two.
Giorgio Modica: 42:02 Now with respect to your first question. We did not take any commitment with S&P, which means that we defined our financing structure now in August last year. So it's more than twelve months ago, and the financing structure was aimed at having a solid people B writing. 42:33 Now, what has happened is that, the actual performance of the business has been vastly superior to the one that we were expecting at that time. It was the case when then we finalized the financing mix of the Borsa Italiana transaction, but we decided to keep the mix unchanged and therefore we gain if you want some flexibility in this respect. 43:01 And then till this very first day the results have been better than expected, especially because it was difficult to anticipate that despite exceptional twenty twenty we would have been able to generate an organic growth in excess of the previous year in the nine months of this year. So what I can tell you is that, there is no commitment, the business has performed better, this has given us more room to maneuver and Euronext and S&P will assess where we are in the deleveraging journey every quarter. And will base this assessment and will give us the rating, but again, no formal commitment on -- we gave to them on a specific deleveraging profile. 43:58 And by the way, we will meet them at the end of the month for our yearly discussion. When it comes to the speculation around potential transaction, I believe Stephane already answered. Thank you.
Ian White: 44:15 Thanks for your help.
Operator: 44:18 The next question comes in from the line of Philip Middleton calling from Bank of America. Please go.
Philip Middleton: 44:25 Yeah, good morning. I just wonder if you could say us a bit more about tax, because the tax rate seemed a little bit higher than I had expected, but you are suggesting that this is coming from integration reasons. I wonder if you could therefore just give us a bit more detail there, please.
Stephane Boujnah: 44:53 Is there other question from this group please?
Operator: 44:58 Of course, the next question comes in from the line of Andrew Coombs calling from Citi. Please go ahead.
Andrew Coombs: 45:07 Before I ask my question, I don't think Philip asked. I think Philip was asking the thoughts from the tax rate, so perhaps you'd like to address that first. [Technical Difficulty]
Operator: 45:16 It appears that there we may be having some technical difficulties. Please stand by, once we reestablished the connection with your speakers. [Technical Difficulty]
Stephane Boujnah: 46:39 Investor Relations team at Euronext, in particular [indiscernible] And in any event I look forward to talking to you to meeting within in person if you travel to Milan on Tuesday, the night of November. Feel free to reach out to us at any time before that date. Have a good day.
Operator: 47:01 Thank you for joining today's call. You may now disconnect your handsets.